Operator: Good day ladies and gentlemen. Thank you for standing by. Welcome to Emerson 's Investor Conference Call. During today's presentation by Emerson management, all parties will be in a listen-only mode. Following the presentation the conference will be opened for questions. (Operator Instructions) This conference is being recorded today August 06, 2013. Emerson's commentary and responses to your questions may contain forward-looking statements, including the Company's outlook for the remainder of the year. Information and factors that could cause actual results to vary materially from those discussed today is available at Emerson's most recent Annual Report on Form 10-K as filed with the SEC. I would now like to turn the conference over to our host Patrick Fitzgerald, Director of Investor Relations at Emerson. Please go ahead, sir.
Patrick Fitzgerald: Thank you, Camille. I am joined today by David Farr, Chairman and Chief Executive Officer of Emerson; and Frank Dellaquila, Executive Vice President and Chief Financial Officer. Today's call will summarize Emerson's third quarter 2013 results. Our conference call slide presentation will accompany my comments and is available on Emerson's website at emerson.com. A replay of this conference call and slide presentation will be available on the website after the call for next three months. I'll start with the highlights of the quarter as shown on page two of the conference call slide presentation. Third quarter sales declined modestly to $6.3 billion underlying sales decreasing 1%. While this macroeconomic conditions continued through the quarter with cautious levels of business investment globally. Sales growth is also affected by the difficult comparison mainly from the Thailand flooding recovery in the prior year. Emerging markets grew 2%, which was more than offset by material market leading us. We announced this morning than an agreement as been signed to sell the 51% stake in the embedded computing and power business to Platinum Equity. The transaction nearly monetizes the business and shifts focus to our core businesses. Transaction proceeds of approximately $300 million and repatriated cash to be deployed for incremental share repurchase of $600 million. Charges related to business were recognized in the quarter totaling $0.70 of EPS. Excluding these charges earnings per share were $0.97. Strong cash generation continued with free cash flow up 20%. Moving to slide three, P&L summary. As we mentioned the slow macroeconomic environment limited growth. Gross profit margin was flat as cost containment offset unfavorable product mix and volume deleverage. Operating profit margin declined to the higher stock compensation and pension expense as well as mainly high leverage in the prior year from the flooding recovery. Goodwill impairment was recognized in the embedded computing and power business. Other deductions increased to $37 million, non-recurring dumping duty gain in the prior year. EBIT decreased sharply due to these items, leading to reported earnings per share of $0.27, and $0.97, excluding the goodwill impairment of $0.65 and income tax charges of $0.05 related to earnings repatriation. Moving to slide four, underlying sales by geography. By geography, underlying sales have decreased in the U.S. by 3%, in Europe by 6% and in Asia by 3%, including a 4% reduction in China. Sales grew in Latin America by 8%, in Canada by 4% and in Middle East and Africa by 18%. Total underlying sales declined 1% divestitures and currency deducted 1%, while reported sales declined 2%. Excluding the embedded computing and power business, underlying sales were essentially flat with modest growth in China. Next slide, cash flow and balance sheet. Cash generation was robust with operating cash flow up 17% and free cash flow up 20% which represents the conversion from earnings to 121%. Working capital as a percent of sales increase from prior year due to high receivables, but improved sequentially by 120 basis points. Moving to slide six business segment details. Business segment margin declined to 130 basis points due to flooding recovery and dumping duties in the prior year, as well as higher pension expense. The increase in corporate expense is due to the previously mentioned impairment and higher stock compensation expense. And tax rate reflects one time income tax expense repatriate earnings from the embedded computing and power business. Excluding this impact the tax rate would have been 29%. Next slide Process Management. Process Management sales grew 3% with an approximately 7% point impact in the Thailand flooding recovery in the prior year. By region, North America declined 4%, Asia grew 8%, Europe was flat, Latin America grew 17% and Middle East and Africa grew 24%. Oil and gas, power and chemical end markets continue to grow. Underlying orders were up 8% led by double-digit growth in systems and solutions, improvement in North America and 13% growth in China. Segment margin declined 160 basis points, which was also effected by flooding recovery comparisons. Global project activity remains robust including solid growth momentum in the next year. Moving to slide eight, Industrial Automation. Industrial Automation sales decreased 7% with North America down 5%, Asia flat, Europe down 13%, Latin America down 4% and Middle East and Africa down 2%. Industrial goods and markets remained weak globally especially in Europe. Business was most pronounced in the power generating alternators business with channel inventory destocking is beginning to slow, and orders are expected to turn positive soon. Excluding $37 million in dumping duties received in the prior year, margin remained unchanged as cost containment offset volume deleverage. Demand for industrial goods appears to be stabilizing, but is expected to remain slow in the near term, particularly in Europe. Next slide Network Power. Network power sales declined 5% with North America down 2%; Asia down 13%; Europe down 4%; Latin America up 6% and Middle East and Africa up 19%. Slow demand continued in global information technology and telecommunications end markets. And Network Power systems business declined slightly as growth and data center infrastructure was offset by telecommunications weakness. Embedded computing and power business declined at a double-digit rate. Segment margin contracted 220 basis points primarily due to volume deleverage and unfavorable price. End markets appear to be improving, with difficult comparisons from prior years (inaudible) project in Australia will limit near-term growth. Next slide, Climate Technology. Climate technology sales decreased 2% with North America down 4%; Asia down 2%; Europe down 5%; Latin America up 3% and Middle East and Africa up 21%. U.S. Air conditioning business declined modestly as the residential markets paused due to mild weather and inventory destocking. Asia sales declined as China decreased after double-digit growth in the previous quarter. Europe market conditions remained weak. The global refrigeration business improved for both recovery and the transportation business. Segment margin expanded 80 basis point as cost containment offset unfavorable mix. Growth is expected to resume in the refrigeration businesses in the near-term. Moving to slide 11 Commercial and Residentials solutions sales declined 2% reflecting a (inaudible) adverse impact from divestitures. Underlying sales grew 4% with North America up 6%, Asia up 3%, Europe down 4%, Latin America down 1% and Middle-East and Africa down 11%. Residential investment in North America continues to grow more than offsetting slower commercial demand. Segment margin remained unchanged from prior year. We expect growth to continue the solid residential and improving non-residential demand in the U.S. as well as stabilization in Europe. Moving to slide 12, consistent with previously communicated intentions, today we announced an agreement to divest the 51% stake in the Embedded Computing and Power business to Platinum Equity, the terms allow us to immediately monetize the asset focused on our core business, while also participating an upsize from repositioning of business. Emerson will receive approximately 300 million in cash and retain a 49% non-controlling interest. The transaction is expected to close in the next three to six months. The $300 million of transaction proceeds and approximately $300 million in repatriated Embedded Computing and Power earnings will be used for $600 million of additional share repurchase to offset EPS dilution. The businesses sales and earnings will continue to be reported in Emerson's consolidated results until the transaction close. Next slide full year outlook. The economic environment is beginning to stabilize and improve, but orders growth resuming in June after declines since February. We are expecting, near-term business investment will remain cautious but slowly improve. Specifically we anticipate energy and residential markets to remain solid with slow but improving demand for industrial growth and information technology and telecommunications infrastructure. Based on current conditions the revised 2013 outlook is as follows; reported and underlying sales growth of approximately 1%; EBIT and pretax margin approximately equal to prior year, excluding the goodwill charge in each year; earnings per share excluding goodwill and tax charges trending toward the lower end of $3.48 to $3.55 or $2.78 to $2.85 excluding charges; operating cash flow of approximately $3.4 billion and free cash flow of approximately $2.7 billion. With that I'll turn over to David Farr. 
David N. Farr: Thank you very much, Pat. Welcome everybody to our third quarter earnings call. I also want to thank all the operating executives out there for delivering what I would call very solid operating margins and some very strong cash flow and a very difficult quarter from the standpoint of comparisons from last year which we’ve referred to a couple of times in the press release at the Thailand flood. We always knew this was going to be our most challenging quarter given what, ho we recovered last year. On the negative side throughout the quarter, prior to the last four or five months, we've seen weakening of the global economies and that weakness really start to coming true as we move through this quarter. And the good news though, if you look at where we stand right now, June orders were positive. Early indication right now July orders are also going to be positive. So it looks to us that things are starting to shape up with a little bit upward trend to finish the year with a strong operating performance in Q4, to get through well I call, it challenging fiscal 2013, but overall it was a tough quarter. We had a lot of moving parts. Several of the businesses are doing well. As you can see, coming up our electrical products group meeting. The big exception clearly is Network Power systems which continues to see weaker sales coming from a weakening China, other parts of Asia Pacific, also very weak IT demand both coming out of Europe and the United States. Companies have not really increased their spending at any significant levels yet to see that market place pick back up. We also had some very bad mix throughout the quarter, through different business in particular China which is a high margin business for us is really weak. And our repositioning and restructuring continues to take hold and it’s starting to pay off. In fact I just came back from Europe and we saw our European business is stabilizing and actually start to see positive order growth in our Network Power Systems business, a very important, we’ve signed restructuring of all the restructuring and the new management team we have put in place up, a good first sign that things are starting to turn. Negative side also of this business, was weak government spending. We have a government spending arm here and that business was down obviously with a pullback in the government spending. Overall, the business did not turn out what we thought it would at the electrical products group. Clearly the margin for the whole year will be weaker than we said before. Well I am starting to see as you've seen in orders , we're starting to see the Network Power Systems business pick back up and I feel we will be going out this quarter, fourth quarter doing better and then really going into a stronger 2014 as the economy continues to I think moderately improve but not robustly. But relative to the other businesses, we're all operating pretty well, pretty much along the line if we thanks a lot about EPG. Process management has been continued strong order growth, with some very difficult comparisons last year. Underlying sales and orders were up close double-digits this quarter. When you take out the impact the Thailand flood, we’re seeing a good business coming around the world. We’re not really seeing any delays at this point in time, and the technology investment continue to go forward. The other good sign there is we’re continuing to work a lot of nice bolt-on acquisitions in the space, which will help as again as we finish this year and going into next year. On the Climate Technology, it is a little bit more volatile than we normally would see. We had a very good quarter last quarter, a little bit weaker this quarter, but net-net, the orders have turned up and what we’re seeing coming out of Europe, out of Asia, the United States is the trend line is positive and I expect setting up for a pretty good fourth fiscal quarter and hopefully a strong first quarter going into the next fiscal year. Industrial Automation clearly continues to be impacted by. One of our large customers out there continues to do a lot of inventory destocking, but overall, again, I’m starting to see a little bit more improvement there and I feel better. As we come through this quarter, and get into the fourth quarter and go into next year that will eventually turn to positive growth. Even when you look at the business, underlying business where the volume down, they were able to protect their profitability once you exclude the impact of the one-time pick-up we had last year from the Byrd Amendment callback. So, that business is doing really well. North America business in commercial residential, as we’ve said, the housing market is still strong, people are spending a little bit of money and the business is still growing in that 4%, 5% range, which is very good. Very positively, over the last six months we’ve been working extremely hard. I’m trying to come with an appropriate exit strategy for our computer and power business, which has had four extremely challenging years. It is good to get this behind us, and moving forward we’ve got a solution that’s right for the management team, right for the business and right for the Company. And I feel good about where we sit right now. We need to get the approvals from the governments around the world, which should not be problem, but that takes time. Most importantly, as a management team and the Board, we want to return back with $600 million that we’re getting out of this business and returning it back to our shareholders and share repurchase. And that’s very, very important from the perspective of giving money back to our shareholders. From the cash flow standpoint, we are going to have a very strong year and a very strong quarter with almost $1 billion in operating cash flow. And what we see this year is pretty record levels of operating cash flow, over $3.4 billion and hopefully $2.7 billion of free cash flow. With the share repurchase of $850 million we’ve already have planned, the $600 million is an incremental number to go back to the shareholders. So this year we’ll be – we are obviously doing a lot more share repurchase on the next 12 months. Acquisitions are very moderate this year. We’re only be doing about $100 million. However, with the pipeline and the deals we are working on right now, I would expect that number to bump up on bolt-on type of acquisitions to about $1 billion level when we get into 2014. We do not have any large strategic acquisitions at this time on the table and we’re working very, very diligent on the bolt-on acquisitions in our core space to strengthen our Company. A tough quarter, but certain things are starting to turn relative to orders, the cash. I think that you are going to see a stronger operating execution here in the fourth quarter and we are setting up for a solid fourth quarter with a good movement going into 2014. It’s good to get this from behind us. It’s really good get the agreement with the sales of computer power system business and it will be good to see return to positive top line growth and solid order growth as we go forward during the coming months. It’s been a very difficult three or four years here with very moderate growth environment, which has created a lot of pressure relative to the growth. But the business is in very good shape from the restructuring standpoint, cash standpoint and the position of the business at this point in time. So with that, I want to open the phone line up for questions and I want to thank everyone for joining us today and again I want to thank operating executives for working hard and delivering a good quarter in a very challenging environment.
Operator: Thank you, sir. Ladies and gentlemen, we’ll now begin the question-and-answer session. (Operator Instructions) Our first question is from the line of Mike Wood with Macquarie. Please go ahead.
Mike Wood – Macquarie Capital, Inc.: Hi. Thanks for taking my question. You’d mentioned in the release that you are encouraged by the emerging market investments. You had 2% growth overall. Are you able to talk a little bit more detail in terms of how these investments are paying off so far and what the GFI backdrop is in the emerging markets that you are achieving 2% growth in?
David N. Farr: The reason we said we are encouraged by, because we’ve seen very good growth in our Latin America business. We are seeing good growth in our Middle East business. The big issue that we’ve seen in Southeast Asia, the biggest issue we have seen so far this year is Australia which is not emerging market, but China and from our perspective investments we make in these markets are continuing to growth. The China one will obviously continue to see, evaluate how much more we are going to put in there. But I would, for the GFI going forward here for the next couple of years in the emerging markets, it’s most likely going to be in the 4% or 5% range. It’s not going to be all that strong. It would be better than you’re seeing in the mature markets, but still kind of weak. But one or two quarters, we have things moving in and out based on what’s going on in large projects, but overall it was a reasonable quarter except for what happened in China, as China weakened significantly throughout the quarter and hopefully that will start turnaround here in the coming months and quarters.
Mike Wood – Macquarie Capital, Inc.: And as a follow-up, are you still seeing the credit issues in China that I think you mentioned last quarter?
David N. Farr: That theme has stabilized a little bit. I think there was – now they’ve tightened up for the banks. I think that’s now starting to settle down. I look at our receivables. I look at our outstanding receivables. That’s improving. So, overall I think that’s okay at this point in time. We are just looking at for where they are going to invest and we had a pretty good quarter excluding embedded power and computing business in China. So, overall I’m looking for good second half this year. On the calendar year basis the things start to stabilize little bit there.
Mike Wood – Macquarie Capital, Inc.: Great. Thank you.
David N. Farr: You’re welcome.
Operator: Our next question is from the line of Steven Winoker with Sanford Bernstein. Please go ahead.
Steven Winoker – Sanford C. Bernstein & Co., LLC: Thanks, and good morning, Dave and all. Congrats on the deal with Platinum.
David N. Farr: Thank you very much, Steve. It’s afternoon now unless you’re some place different than I am.
Steven Winoker – Sanford C. Bernstein & Co., LLC: Yeah, you’re right. I’m been working (inaudible) early this morning. It’s afternoon. So, the transaction detail, just a little bit more clarity on the dilution of this, or on the exit of that 49% over time and we’ve seen this with IR and Tyco and others, to kind of get into these deals. They deconsolidate and promise to get out and then they get diluted over time and we don’t really see a lot happen over time. What are your expectations, I mean, how many years should we think about this, is this longer-term for the remaining stake or how are you thinking about it?
David N. Farr: We are visioning as we talked to the Board about three to four years. I mean, we will get out of this business the way we structured from the standpoint of books and the residual value. I think the intention of Platinum and the management team is obviously to transform this business and clearly get their money back out, but it’s going to be, I would say, three to four years that we’re looking at this point in time.
Steven Winoker – Sanford C. Bernstein & Co., LLC: Okay, great. And just maybe stacking up a little bit. With all the news on Invensys and Schneider going after Invensys, we know that obviously Emerson is a very strong competitor in these areas, but my question is more about to what extent Schneider’s reinvestment in the Invensys installed base sort of potentially slows down share gains or impacts the industry more broadly over time? I mean, how are you thinking about that one?
David N. Farr: From my perspective, having Invensys going into the hands of Schneider is, I think, will bring some stability to the marketplace, to be honest. I think that Invensys was not large enough to have a critical mass. So I think it’s having a large global customer like we have with Honeywell, like we have with Siemens, like we have with ABB or Yokogawa, I’m not worried about another one. In fact, I think it’s a positive time from our perspective. From the installed base point, Schneider doesn’t bring a lot of technology to the systems, but they bring other things. So I think they are going to have to spend time and figure out how to integrate their type of system technology with the controls business technology and that will take time. So I think that if I look at the opportunities from market share, it’s still going to be out there, because you are going to have customers wondering about Schneider, how long they’ve been in the control market space, are they going to be – they could be the right guy you want to pact with. So I’m not too worried about it at this point of time. I mean, Schneider is big competitor and we compete against them. I look forward to it and, I mean it could be a lot worse scenario.
Steven Winoker – Sanford C. Bernstein & Co., LLC: Okay. Thanks. I’ll pass it on and get back in line.
David N. Farr: Thank you very much, Steve.
Operator: Our next question is from the line of John Inch with Deutsche Bank. Please go ahead.
John G. Inch – Deutsche Bank Securities, Inc.: Thank you. Good afternoon, Dave.
David N. Farr: Good afternoon, John. How are you doing today?
John G. Inch – Deutsche Bank Securities, Inc.: Doing well, doing well, enjoying the summer. There’s been obviously some false starts before, over the past three or four years, I mean, you’ve called it out. Just what gives you the conviction that these markets, never mind if turning up, but they’re just – we’re finally at long last at the bottom. I mean, you’ve done this a long time. Why do you think now is sort of this inflection point versus simply a pausing before we step down again.
David N. Farr: I’m not forecasting low cost growth. Let’s put it that way. I am forecasting, I mean, from my perspective right now, I’ve seen the disinvestment, let’s just take Europe for instance. Disinvestment for almost two years in Europe and to the point now that businesses need to put some money back in. So if I look at what’s going on in Europe, we’ve been going negative for almost two years. You are looking at a sort of slight positive, just going from negative 3% to a plus 1% type of situation. I just feel what we are seeing right now, is people do need to put the money back into play. You are seeing some of that same thing happen in United States and you are going to start seeing that happen in other markets around the world. I think you got the money going in Japan right now, where the government trying to encourage business investments and that’s going to have, I think, a positive impact throughout Asia Pacific. So I mean from my view right now, if I look at the world and I look at where we are relative to world and GDP growth the GFI growth I’m looking at basically a moderate growth next year, maybe a slight tick higher, but not much more than that. I just think right now people are going to have to put some money to work here and invest on the capital and reinvestment in productivity. I’m not expecting a sharp turn here. But I’m expecting a slight upward momentum and that’s what I’m feeling right now and that’s what I feel and that’s how we’re planning. So like all moderate lift. But it’s a tough market, as we talked about. I think it’s going to go on for a couple more years.
John G. Inch – Deutsche Bank Securities, Inc.: Yeah. That makes sense. What kind of projects, if you could give a little more color on the projects that you are seeing in process. I guess one of the themes of quarter has been kind of the resurgence here in oil and gas spending. Are you seeing that too or just anything that might provide sort of your level of how this thing is going to play out over the coming quarters?
David N. Farr: We are continuing to see a lot of oil and gas investments per se. We’re also seeing a lot of investments in power in both Asia and also North America. Our power orders are pretty good this year and have continued to strengthen and it’s a function of people having to figure out how to upgrade their power systems, maybe not putting new capacity in place, but how to upgrade their systems. So, we’re seeing a pretty good area relative to power. We’re seeing good money relative to downstream work going on right now too, the oil and gas – Sasol investments and that we’re seeing a lot Louisiana that type of investments. So, we’re seeing a large project coming off oil and gas. We’re seeing the oil and gas investments and we’re starting to see a return into some of the power investments. So, overall, I’m very pleased. Now, we’re not seeing – I haven’t seen a lot of, what I call MRO, which we had a lot of last year, which I’m hoping from the capital standpoint that we’ll see that pick back up here in the coming months. So that’s in the weakest part this recovery and this year versus what we saw last year. But the prices are pretty broad in there, pretty global and the pipeline is as big as it’s ever been.
John G. Inch – Deutsche Bank Securities, Inc.: And large projects are picking as well is that what you just…
David N. Farr: Correct. Correct.
John G. Inch – Deutsche Bank Securities, Inc.: Just one last one. Eaton, called out I think large data center improvement for the Network Power businesses in the second half or starting in the second half. I think we talk a little bit more constructively on the system side. Are you seeing that as well as there is something about their mix that makes them perhaps a little bit different? I know they have got a couple of products. I don’t know maybe there’s some channel fill or something?
David N. Farr: I don’t know. I think what they are seeing is the same thing we’re seeing. We are seeing a lot of coding going on right now. Theirs is a large project that has been held back for quite some time and we are seeing that coding activity happening right now, same thing.
John G. Inch – Deutsche Bank Securities, Inc.: Thank you.
David N. Farr: You’re welcome. Take care.
Operator: Our next question is from the line of Christopher Glynn with Oppenheimer. Please go ahead.
Christopher Glynn – Oppenheimer Securities: Thanks. Good afternoon.
David N. Farr: Good afternoon.
Christopher Glynn – Oppenheimer Securities: Dave, just wondering what the restructuring is for the year now and for next year, because it sounds like you are talking about maybe 2% to 4% organic next year if I’m reading properly. So wondering how you view the margin opportunity in these contexts?
David N. Farr: We’re looking at probably $85 million restructuring this year and I would say we are going to be looking about the same level next year or two, $85 million, $90 million, $95 million right on that range. We are just starting that real process. From my perspective, what the biggest issue, I think was just talking to John about it was getting – if I can get Europe to actually turn from going negative to positive, the restructuring that we’ve been making in Europe will be a very positive from the standpoint of getting that margin to top back up in Europe, which you need that growth and that cap in there. So at this point in time I think that moderate growth, about same on restructuring we should reserve on next year.
Christopher Glynn – Oppenheimer Securities: Got it, thanks. And then just looks like a pretty heavy CapEx pick up in the fourth quarter, is that just timing?
David N. Farr: Timing.
Christopher Glynn – Oppenheimer Securities: Okay.
David N. Farr: Timing, and typically right now I would say $700 million is the number. I bet that it would be closer to the last year's number. But I can't call that plus or minus $20 million in capital. But I would say right now probably won't quite hit $700 million. I would say the operating cash flow will hit 3.4, but we won't hit $700 million. This one get done.
Christopher Glynn – Oppenheimer Securities: Thank you.
David N. Farr: You're welcome.
Operator: Our next question is from the line of Jeff Sprague with Vertical Research Partners. Please go ahead.
Jeffrey Sprague – Vertical Research Partners LLC: Thank you. Hello, Dave and everyone.
David N. Farr: Good afternoon, Jeff. Long time no seeing.
Jeffrey Sprague – Vertical Research Partners LLC: Yeah, absolutely. Hope you are doing well.
David N. Farr: I'm alive.
Jeffrey Sprague – Vertical Research Partners LLC: Good. Keep going, keeping on. Just back on process, you’ve also called out water, I mean not in the strength in power and water that you're exciting actually is very different from like the flow through and (inaudible) missing on slow on the water businesses and power gas struggling. You said on powers, a lot of restlessness, is it upgrade is it coal or is it something standout there and what is it in water that actually think.
David N. Farr: Okay. On the power side we're seeing mostly gas right now, we're seeing gas systems being upgrade a lot of conversion going on there not much going on in coal at this point in time, no one is touching that coal, it's pretty tight but they are actually going and doing power additions for gas, and that's been going on and that continue to go on. We've also seen a lot of investment going on in security. There is a lot of new regulations and relative to security of your power plan, and we have very strong security capabilities and systems capabilities, which we've been going and upgrading, so they meet the code which has been a positive thing for us. As you know, when we bought the Westinghouse power business, we actually picked up a lot of business. We picked up our water business relative to the systems that go into the waste water systems, new water systems, and we also picked up a system out of our Brickell acquisition too which works now we put that together. So there have been investment on upgrade in the wastewater systems, a lot of laws coming out of EPA and so we've been getting good, what I call medium, small sized projects throughout the United States and throughout the world relative to water process. And so we've seen a little bit of a pickup there too. But nothing really talk much about because it's not the biggest driver of our control systems in that PWF, but we've seen a pretty good recovery there longer the power.
Jeffrey Sprague – Vertical Research Partners LLC: That's right. And just on the climate, the tolerance does sound a little bit better. I wonder if you could just address the competitive landscape, and how we feel about where you're at with kind of variable fees in product line and rollout. And in particular, just kind of have my eyes on the Japanese wondering if you're seeing any particular kind of emerging threats in those guys, if given a (inaudible) again.
David N. Farr: Okay. From the standpoint of the overall system right now, as I look at the roadmap and the under investment in Europe, it’s primarily refrigeration, it's not a AC marketplace that business does appear to have actually can start trending upward, which is good to see after a couple of top years. Asia the AC system refrigeration investment that’s doing pretty well, we're starting to see some of that pickup back and again transportation as people starting to invest back after couple of years being off. And North America the competitive environment really hasn't changed much in the last three or four months. We got very, very strong quarter last quarter than this quarter we backed off. The orders have been reasonable this quarter and we're starting to see some of the other commercial businesses pick back up. Relative to variable speed in your case, this time Daikin coming on Japan obviously everyone is working right now on bringing of what I'd call competitive variable speeds in United States, we clearly are working with them to do that, nothing has changed at this point in time. I don't think you're going to see any significant product until sometime middle of next year. Now Carrier today has a high-end product which is very good business, it's a small part of the marketplace, we need to get into this into what I call mid sized marketplace, mid price point. But I think we're all working on that right now. But it looks like the reason will trend for the next couple months and hopefully next couple of quarters. But it’s clearly variable speed is the key issue that we have as a company understand and that's why we're making electronic investments and products are coming out we've been doing pretty well in Europe, doing okay in Asia, and the next game will be in the United States.
Jeffrey Sprague – Vertical Research Partners LLC: Beyond Diakin, is there anybody Toshiba, Hitachi, others that you’ll need to keep an eye on or worry about as competitors yet?
Patrick Fitzgerald: Toshiba has worked of course obviously their close relationship with Carrier. But Carrier obviously has an option there working with Toshiba, but they always had and we work sort of duel together. But I would say in my perspective Diakin has the most competitive capabilities out there.
Jeffrey Sprague – Vertical Research Partners LLC: Thanks a lot guys.
David N. Farr: That's Jeff. Hope we will see you soon.
Jeffrey Sprague – Vertical Research Partners LLC: Okay.
Operator: The next question is from the line of Shannon O'Callaghan with Nomura. Please go ahead.
Shannon O'Callaghan – Nomura Securities International, Inc.: Good afternoon everyone.
David N. Farr: Good afternoon, Shannon.
Shannon O'Callaghan – Nomura Securities International, Inc.: Hey Dave just on this idea of getting Europe to turn I mean, you mentioned a couple areas I think in Network Power and climate that you saw turning positive getting the whole picture to turn positive what are kind of the lagging pieces and maybe just fill that thought out a little bit.
David N. Farr: Well, from our perspective we've been watching this now because for the last several months, all the leading indicators in Europe are have been point consistently now, I want to say three or four months, I'm talking about (inaudible) month is five so, as I look at the European structure at this point in time, it’s been actually from a leading and it's actually been almost six months and industrial numbers have been up three or four months. So, from my perspective what we're seeing right now is the longer the bank the stability to access our money. We're going to start seeing in the medium and small customers coming into play and start investing again. And so I think that's the key sign, from Europe perspective right now process had a good quarter in Europe, and we're starting to see some of the other industrial businesses come along with that. But again, I won’t go back it's not going to be what I call robust turn, what I would envision next year would be probably 1% type, maybe even a little bit better than 1% type of growth, which versus two years of negative growth that's going to be a nice win to our back. So key to me is the financial institutions struggling to lend the money out feeling comfortable in the money out, and I think that obviously the general election coming up, I'm hoping things will stabilize here and we'll continue trend up, but right now those bring going up for several months and I would say the indication is that this will lift up the boat and have a little bit more positive view of Europe next year, again not robust but more positive.
Shannon O'Callaghan – Nomura Securities International, Inc.: Okay, great. And then on some of the restructuring benefits I mean industrial automation you've done a really good job offsetting the volume deleverage with restructuring cost take up, you've done a heavy restructuring in Network Power too, but it hasn't really panned out there in terms of offsetting the volume deleverage. Is that a function of the mix in Network Power or the restructuring savings taking a longer to show up or maybe just give us a sense of why it's been so much more effective in industrial automation?
David N. Farr: Industrial automation we actually had laid it out a little bit earlier, we saw the European thing coming down quite rapidly, and so we had laid it out, in the last couple of years we've done incrementally so we got ahead of this power curve, and we got a couple of key last restructuring on Europe, and a couple of key ones on United States right before the startup here, so that's been helping us cover this. On the Network Power the biggest issue for us has been the European dropoff right after we bought Chloride, we start pushing it together on the cost of the restructuring, disturb the restructuring, it's been a more painful process relative to recovering that profitability through the restructuring, we need to get the growth back in, and as I said earlier, we're staring to see the orders grow, guarantees on the sales growth but that trend line continues and we'll start seeing that positive. But that's been the biggest issue as the timing of restructuring just as the marketplace start turning down the sales turned down rapidly. We're behind the power curve because of the downturn where we’ve got ahead of the power curve with IA. That's our normal gain but we've just done a big acquisition started and we've got, unfortunately we've got behind as one and to you have ever done surfing and so forth, the way we are actually top of here.
Shannon O'Callaghan – Nomura Securities International, Inc.: Got you. All right, thanks a lot.
Patrick Fitzgerald: Okay. You're welcome.
Operator: Our next question is from the line of Deane Dray with Citi Research. Please go ahead.
Deane M. Dray – Citigroup Global Markets Inc.: Thanks. Good afternoon. Hey, David, haven’t heard you use a surfing reference before, is that a summer activity?
David N. Farr: No, I was in the North Carolina, I was a young kid, I used to surf, most people didn't realize that, but I'm going to bad news I don't do that anymore. But I used that analogy all the time you don’t get – if you have ever surfed you get behind that wave, it may hurt when the board hits at top of the head.
Deane M. Dray – Citigroup Global Markets Inc.: Absolutely, on the climate side, may be just expand your comments about the pause and some de-stocking in the residential HVAC side, because you have the OEs areas posting pretty good high single-digit sales this quarter, and just try to reconcile those comments?
David N. Farr: Yeah, if you remember last quarter we had a huge recovery. So we put the product out there we always start using, and then probably make start selling, so we had a very strong second quarter in North America residential, and that so as the OE start obviously integrating that inventory and starting to sell, they slowed that down a little bit. And right now looks to me like things are running reasonably well, we got to back in the strength, a little bit more, we're starting to see some pick up back in the transportation area as well. It took off very rapidly. And how strong we were in the first, second quarter.
Patrick Fitzgerald: It was over 20% North America residential.
David N. Farr: So we are 20% North America residential in the second quarter. We got a base going one quarter and then they've been digesting it. So if I look at this quarter right now, I'd say we're going to be in mid-single-digit, I think we're in a pretty good right now it looks like that way.
Deane M. Dray – Citigroup Global Markets Inc.: Good. And then just a couple of follow-ups on the embedded power sale maybe take us through decisions about, did you ever looked at selling it in pieces, and is it probably a source or take us through the economics on repatriating that cash?
David N. Farr: Okay. Yes. We didn't look at all in pieces, but from our perspective to give the business a chance, and also to get the best value for our shareholders after a tough couple of years. We felt of doing the total business together that gave enough flexibility to make out a viable company and to grow and make a good return down on the second half of this piece. So, we look at all different ways. We looked obviously strategic and this was a best option for our shareholders. Relative to repatriation a lot of people from Astec, which I ran. Astec has historically has been a very profitable business even though we've had a tough couple of years here, if you look at the run we still had a slightly positive return on investment, but the last couple of years have been pretty tough and we had some write-offs. We had a lot of cash in earnings obviously we never repatriated. And so with the transaction like this we have to bring those earnings back, we have to pay taxes on those earnings, and that cash but we are going to bring it back and we're going to bring part of that's going to be going back to our shareholders and that's why - some of them we had no choice, but we have to do that. Any else to add up Frank?
Patrick Fitzgerald: No, it's clear.
David N. Farr: That's where it is.
Deane M. Dray – Citigroup Global Markets Inc.: And that was all the cash that would be coming back related to this transaction?
David N. Farr: You've got it.
Deane M. Dray – Citigroup Global Markets Inc.: Great. Thank you.
David N. Farr: You're welcome Deane, all the best, you have a good summer.
Operator: Our next question is from the line of Rich Kwas with Wells Fargo Securities. Please go ahead.
Rich M. Kwas – Wells Fargo Securities LLC: All right. Good afternoon, Dave.
David N. Farr: Good afternoon, Rich.
Rich M. Kwas – Wells Fargo Securities LLC: On industrial automation the margins are holding in pretty well considering the environment. So when things start to pick up, are you going to have add some cost back in infrastructure, how do you feel about incrementals when volume actually start to come back?
David N. Farr: I'm hoping incrementals are pretty good initially, then they continue to grow then we will obviously put some money back into it because we've done a lot of restructuring. But a lot of restructuring was taking out what I'd call excess capacity or repositioning it. And so there was a permanent, obviously we did do some prior call incremental type to restructuring from a standpoint personnel that we have to put back in this business strengthen. But I'm hopping to have good leverage as this business recovers, and get that margin backup. It trades a little bit higher, the good times are here. So I think we can do a little better than and also starting invest in the business plan.
Rich M. Kwas – Wells Fargo Securities LLC: Okay. And step back on climate. You had a couple of guys OEMs talk about better mix, but they are seeing on the residential side in the U.S. Are you starting to see that in your order flow at all in terms of the mix, have products starting to come through because I know that's been a headwind for a little while now?
David N. Farr: I don't specifically have the knowledge to myself I mean I could find but I don't sense I mean we obviously we had if you look at our profitability of the business it's pretty good. So I would say we probably have reasonable mix this quarter. If I look at the margin we just delivered and we're going to deliver probably records margins of a whole year. But I haven't seen, also difference in mix, if we can get transportation in our commercial business have start taken back up that will be even more positive mix for me.
Rich M. Kwas – Wells Fargo Securities LLC: Okay, okay, great. Thank you.
David N. Farr: Thank you Rich. Thanks. All the best to you.
Operator: The next question is from the line of Julian Mitchell with Credit Suisse. Please go ahead.
Julian C. H. Mitchell – Credit Suisse Securities: Hi, thanks. Yeah just a question on the Network Power decremental margins generally very high and you call out pricing as a reason, is that within just embedded computing or in the past you’ve talked about precision cooling as well.
David N. Farr: Yeah. We saw a couple of pricing excluding the embedded we saw clearly there is a mix going on right now in the type of cooling and we are having to reinvestment in new product line of cooling, which is coming out of different price point and there is going to be some aggressive restructuring as area here as we try to change the cost structure of that business from a cooling stand point, because we are very happy to carry out how to make the capital profitability on the new levels of the cooling. In addition, we have a mixed price mix relative to some of the shifts we saw in China as that China business weakened slowdown, we saw a little price pressure there but other than that primarily as the cooling side we saw that like you said.
Julian C. H. Mitchell – Credit Suisse Securities (USA) LLC: Thanks. And then within the process management, your U.S. sales were down for couple quarters now, but you talk about orders improving. So I just wanted to see what's happening say in the after-market business in the U.S. within process management when do you expect that to start showing up in better or an improvement in revenues there?
David N. Farr: The after-market business in process this year in the U.S. has not been good and the orders have not really that par the order places not to back up yet. And so we had a phenomenal after-market business last year and it looks like a lot of business went in, they're starting to obviously working on installing it. Based on what I see where we are in a stock right now in North America, I would now expect our after-market close to pick back up this fiscal year, but again, I’d called it wrong last year but I would say right now, it’s going to be small projects and not necessarily after-market business. So, obviously not as margin wise but we still got some good growth out there.
Julian C. H. Mitchell – Credit Suisse Securities (USA) LLC: Okay, thanks.
David N. Farr: All the best to you Julian.
Operator: Our next question is from the line of Steve Tusa with JPMorgan. Please go ahead.
Stephen C. Tusa – JPMorgan & Co.: Hi sorry.
David N. Farr: Good afternoon.
Stephen C. Tusa – JPMorgan & Co.: Good afternoon. You mentioned Europe quite a bit and just next year you talked about I guess low single digit or 1%, are you referring to your sales or you referring to like some index of investment there?
David N. Farr: I'm looking at my sales right now. I would say like until we see anything above 2% underlying growth, to say in the investment environment, we'll be in that 1% to 2% range. If you go above 2%, then we'll start seeing a premium to that, but right now I think you're seeing moderate investment growth at the GFI level that means we'll have that moderate growth levels at 1, or 1.5 or 1 in the quarter that's safe to understand.
Stephen C. Tusa – JPMorgan & Co.: And then one – Dave that's great color. I guess when you think about I guess you talked about emerging markets kind of a mid single-digit growth rate, overtime would you expect to outperform that or is that something that again is kind of referring to what your business can do?
David N. Farr: From my perspective, if we could see a 4% to 5% then we have historically got premium to that into that space. So I would say we won't get the same level of premium when the premium go up to 6%, 7%, 8% that premium gets wider as you know.
Stephen C. Tusa – JPMorgan & Co.: Right.
David N. Farr: I would say that we're at 4% or 5% we should get a point or two on top of that.
Stephen C. Tusa – JPMorgan & Co.: Okay. And then finally just kind of like, slicing it up this year, I guess a year-to-date your U.S. businesses is growing low single-digits, that's just an average growth rate, just a lot of moving parts there with network power and climate. Ultimately you guys are going to finish I guess in the low single-digits in the U.S. this year, you are reflecting somewhat of a little bit of recovery in resi this year just now booked. Would you expect that to accelerate in the U.S. or you just kind of just a solid and you are just more of a consistent rate of what we've seen this year?
David N. Farr: Our U.S. business should be better next year. It was extremely strong last year U.S. and stronger than last year in U.S. and then weakened I think we saw certain business this tale-off after the strength last year. I think you are going to see an improvement in both in the U.S. and Europe. I think this next year goes to the material market actually be do a little bit better from a standpoint of underlying growth, that's my gut feel right now Latin America pretty good I think China will be low single-digit next year and I think Asia-Pacific will be high single-digit.
Stephen C. Tusa – JPMorgan & Co.: So, when you say U.S. you know little better does that mean like 3% to 4% some like that or even better than that?
Frank J. Dellaquila: I wouldn't think I would say 3% in the U.S. is a bigger number.
Stephen C. Tusa – JPMorgan & Co.: Okay. So that kind of blend you guys into that kind of 2% to 5% range
David N. Farr: I think by tomorrow but I think in my mind, it’s probably 2% to 4%, yeah.
Stephen C. Tusa – JPMorgan & Co.: Okay. And one last question, just on the Network Power stuff. So the cooling business you are kind of restructuring that, so does that mean you're restructuring it to make the margin that had made historically or you're restructuring positioning the business to where the volume is and that maybe a lower margin I didn't quite understand what does it mean structurally for that cooling business?
David N. Farr: All right. We are intended to restructure and get the margins we used to making it.
Stephen C. Tusa – JPMorgan & Co.: Okay, great. Hey thanks a lot for detail. Appreciate it.
David N. Farr: All the best to you. Bye. Next?
Operator: Our next question is from the line of Andrew Obin with Bank of America Merrill Lynch. Please go ahead.
Andrew Obin – Bank of America Merrill Lynch: Hi guys. Good afternoon.
David N. Farr: Good afternoon Andrew.
Andrew Obin – Bank of America Merrill Lynch: As we look at process into 2014 and specifically in North America, how concerned are you guys about ability to do stuff on time given the labor shortages obviously by people who would build this up? Sorry.
David N. Farr: Yeah your dominant skill in selection base.
Andrew Obin – Bank of America Merrill Lynch: Right, right.
David N. Farr: That clearly will hold back, but we haven't seen a problem with it yet I mean I think that probably made the pause this year because of people being working on what they try to work on last year, but we have not seen a problem yet relative to our customer based or our based or even own self having to do these projects yet but it's actually very, very strong growth that's caused that problem at this point in time, so I have not seen that in North America yet.
Andrew Obin – Bank of America Merrill Lynch: I am just thinking about capital redeployment be on buyback. I appreciate the focus from smaller deals, but what keeps you away from doing sort of deals over $1 billion and what's the framework there going to next year?
David N. Farr: Nothing keeps you away from that. From a standpoint I have nothing right now that I find worthwhile from the standpoint that make sense for us in the business and strategically and so we can do big deals, we got plenty of capital to do it. It’s just right now nothing is possible so these deals are in $100 million to $400 million levels right now that we're working on, and that's where the focus is right now, but if the right one came along, we will obviously work on it.
Andrew Obin – Bank of America Merrill Lynch: Thank you very much.
David N. Farr: You're welcome. All the best. Operator Our next question is from the line of Joe Ritchie with Goldman Sachs. Please go ahead.
Joseph A. Ritchie – Goldman Sachs & Co.: Thank you. Good afternoon everyone.
David N. Farr: Good afternoon Joe.
Joseph A. Ritchie – Goldman Sachs & Co.: So just piggybacking on Steve's question earlier. He went through some of the regional color for 2014, but what are some other puts and takes we should be thinking about at this point it seems like there would be a tension tailwind, but perhaps some color on price costs and I know that you're spending an incremental, call it $100 million to $120 million in stock comp this year?
Frank J. Dellaquila: Okay. This is Frank speaking Joe. Pension, if the interest rates where they are now when we finish up our year September 30 should be in order magnitude of $50 million pickup next year. With respect to stock comp, another corporate items that's probably in the range of $35 million to $50 million as well, as we come off the overlap year for the stock comp. So we should have some tailwinds next year in those areas.
David N. Farr: Relative to price costs is the point that I get my top seconds coming in. I would say the point of inflection on price cost this year, sometimes in the next quarter or two. We've had a very strong net material inflation environment which has been helpful for us, materials have really dropped and there is some stability around the world and I am talking about, there is some stability around the world. You should start seeing some I would say less negative net material inflation, so we have less benefit there. The last couple of quarters as we have seen the negative net material inflation come into play, we are starting to see some negative price overall. And so what that tells me now we've had appeared the net material inflation is helping us, a slight negative price is hurting us overall. And we are netting out that we call green. However, typically what we are watching right now at this point of reflection had happened where this thing is going flip and we go to make sure that we are paying attention to this where the net material inflation will start going other way, the price that you get rid away from, you might get too negative than you go red, which we have seen several years back. So, right now I'd say Joe we are at a point of inflection for our company, its all hands on desk. Frank and Ed Monty have been talked about this for the businesses. I see it pretty clearly. If it not this quarter, it’s going to be next quarter. And so what we're trying to right now is make sure get ahead of this and make sure we do not go into a red quarter sometime in 2014.
Joseph A. Ritchie – Goldman Sachs & Co.: That's really helpful Dave. And then specifically on that point as it relates to each one of your businesses which business do you think are going to be most impacted by and may be talk through some of the actions that you're taking?
David N. Farr: Clearly on the Network Power side, it’s a short way and have been most negative impacted by that and so we further got to make sure we stay ahead of the net material we got to keep driving that down that net material. Getting embedded power and executing other will help us from the standpoint because they're a little bit more volatile. The other area that we obviously have to work on very carefully will be the climate technology because of the large metal content in there. So the metal prices have been depressed and so we have to make sure that in our pricing, we look forward and we've had the positive net material inflation and we've been having obviously support that. Those are two areas and we have to make sure we keep ahead of that from a price point and we just know it’s coming, you have to figure out where you're hedging don't hedging things like that. So there is a lot going on right now as we go into that mode.
Joseph A. Ritchie – Goldman Sachs & Co.: Okay. Thanks for taking my questions.
David N. Farr: All the best Joe.
Operator: Our next question is from the line of John Quealy with Canaccord Genuity. Please go ahead.
John Quealy – Canaccord Genuity Inc.: Thank you, good afternoon folks.
David N. Farr: Good afternoon John.
John Quealy – Canaccord Genuity Inc.: First on Network Power, back to Europe in the data center question of, it looks like demand is firming and improving. Can you talk about the competitive situation when you look for growth in the coming quarters there, talk about the split versus organic versus maybe share gains, also I know you get the new precision there, stuffing come out. But just qualify it for us in terms of the competitive growth there?
David N. Farr: It's very hard for us to say when you're losing in a quarter and you don't take long time to see that. So, right now what we're seeing is we're going back into our install base and going back up and upgrade in our install base to spend money. So, I'd say right now, we are going to be reminding the current core space at this point in time. It's hard to say exactly get through this period, do you pick it up or lose, but it's really hard to stay there John from that perspective and I don't from the standpoint I don't break out the individual product line so it's something that I'm not going to do there.
John Quealy – Canaccord Genuity Inc.: Okay, thanks. And then my last question back to the M&A point for next year and your relative, I guess some of the targets are unattractive here, is it just purely evaluation or some of the good properties are spoken for or just give us a little bit more detail about your thoughts about M&A?
David N. Farr: I mean I think in the larger deal I think the evaluations are over a little too high at this point in time. I think the smaller bolt-on deals where you could actually have a little bit more synergy and there is a lot more flexibility I think that those deals right now are in play and where the large – kind of expenses at this point in time.
John Quealy – Canaccord Genuity Inc.: Great. Thank you, David.
David N. Farr: You're welcome.
Operator: Our next question is from the line of Nigel Cole with Morgan Stanley. Please go ahead.
Nigel Cole – Morgan Stanley: Yeah. Hi Dave, how is it going?
David N. Farr: Hey, Nigel.
Nigel Cole – Morgan Stanley: So when you put together your comments about company that is set on CapEx investment so a long time and there is some desire to reinvest and then you put that together with your material comments then it seems a bit more bullish than I guess your GDP type growth forecast for 2014. I guess as you are obviously planning for 2014 right now, are you trying to step up investments entirely for next year?
David N. Farr: I wouldn't say material but our initial investments will be up into the mid 700 range from standpoint of our capital. So right now we're planning if we did around 685 this year I would say our plan to be between 750 to 760 next year.
Nigel Cole – Morgan Stanley: Yeah and that’s a pretty poor base, would you expect to pickup investments in Europe today?
David N. Farr: Yes, across around the world.
Nigel Cole – Morgan Stanley: And then going back to capital allocation. You mentioned in the PR this morning the $800 million plus run rate for share buyback and $600 million on top of that, so you've always said that next year M&A is going to remain face more both on probably a bit more than we did this year. But is the ambition for next year to do sort of the same level of basis we purchased with top of that?
David N. Farr: So, our plan for the next year as we build the plan, we showed the Board today is that we do somewhere between $800 million, $900 million next year again, ignoring the $600 million. So, this year’s base was $800 million or $900 million, so we expect to do $800 million to $900 million next year plus we're going to do we're going make the special one-time $600 million buyback.
Nigel Cole – Morgan Stanley: Okay, and one more if I can you've talked about the next span issue for the last couple of quarters now. The full key set up is for margins to be I guess inline or actually better than they were was last year 4Q12 was extremely good margin quarter. So I'm wondering how comfortably is that the mix is going to work for you in 4Q and even if it doesn't do you feel you're going nothing in hand from restructuring savings to offset those potential mix headwinds?
David N. Farr: Well, we're planning on that that's where the game plan is right now and I'm hoping that the volumes continues to trend upwards and we've got the power structures in place and typically our fourth quarter we leverage quite nicely. So I say right now we're setup regionally well have a very good profit quarter and good cash flow quarter.
Nigel Cole – Morgan Stanley: Okay. Thanks guys.
David N. Farr: You're welcome. All the best.
Operator: Our next question is a follow up from the line of (inaudible). Please go ahead.
Unidentified Analyst: Good afternoon, thanks for taking my question. Going back to Industrial Automation you mentioned the continued negative impact of destocking at one of your large customers for alternators, could you give some color here in terms of the extent to which this is impacting your top line this quarter?
David N. Farr: I would not given out specific numbers on this but it's quite significant from the standpoint it's a very large billion dollar plus customers. So we have not, I've never told people how much per quarter per se, but if you look at what they're being doing relative to their inventory levels and they're taking out you can see how much that's impacted but as I said at EPG I think this trend is getting close to reversing and I've expect that as we end this year we're going to next year we'll start seeing some more positive inputs there.
Unidentified Analyst: Okay, that's great. And as a follow up, just quickly on the drive, the new drive that you launched earlier this year. Is this having any material impact on the P&L as of yet?
David N. Farr: Yeah. I would say the drive business starting to turn and they're very European centric, but right now it's starting it's a profitable business so it's starting to get better and I'd expect 2014 will gain a lot more momentum in that area as those drives take all the industrial drives. So I think that, I'd like the first 12 months of it and it's starting to have a positive impact there and it's starting to turn.
Unidentified Analyst: Thanks very much.
David N. Farr: You're welcome. All right. Thank you everybody for joining us today. I appreciate it, good questions, and look forward to see everybody in the coming months here and have a good rest of the summer. Be safe. Take care now. Bye.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect.